Operator: Greetings and welcome to the Black Knight Third Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host Steve Eagerton, Investor Relations with Black Knight. Thank you. You may begin.
Steve Eagerton: Thanks. Good morning everyone, and thank you for joining us for the Black Knight’s third quarter 2020 earnings conference call. Joining me today are Chief Executive Officer, Anthony Jabbour; and Chief Financial Officer, Kirk Larsen. Our results were released this morning, and the press release and supplemental slide presentation have been posted to our website. This conference call will include statements related to the expected future results of our company and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release, Form 10-K, and other SEC filings. Today’s remarks will also include references to non-GAAP financial measures. Additional information, including reconciliation between non-GAAP financial information to the GAAP financial information is provided in the press release and supplemental slide presentation. This conference call will be available for replay via webcast through Black Knight’s Investor Relations website at investor.blackknightinc.com. I’ll now turn over the call to Anthony.
Anthony Jabbour: Thank you, Steve. Good morning everyone, and thank you for joining us for our third quarter earnings call. This was a strong quarter for Black Knight, during which we continue to execute against our strategic growth initiatives, including adding new clients to our core platforms, cross-selling, delivering innovative solutions, and making strategic acquisitions.  Our sales have been particularly strong so far this year despite the challenges from this unprecedented environment. This illustrates that forward thinking lenders and servicers are seeing the value of our innovations, the integration of one Black Knight and our sense of urgency in all that we do, and they want to reap the benefits that our valuable solutions offer. First, let me provide an update on each of our businesses beginning with our servicing software business. In the third quarter, we signed three new clients to MSP including Caliber, a Top 25 non-bank servicer, which I mentioned on the last call, and two mid-tier servicers. Year-to-date, we've signed five new MSP clients representing over 750,000 loans. We also renewed our MSP contract with Dovenmuehle Mortgage, a Top 10 servicer. In our origination software business, we've continued the momentum selling Expedite, [AIVA, AIP Services,] and exchange, which are solutions that can be used with any loan origination system. At the end of last year, we reorganized the team that sells these solutions and the results have been remarkable, as we've seen sales contract value more than double. We also had continued success selling Empower to mid and top tier lenders. In fact, we signed two new lenders to our Empower platform in the third quarter. In addition to signing the truest long term renewal that includes adding to [BB&T production] onto Black Knight systems, which we previously discussed. Next, I'd like to talk about our data and analytics business. Last year, we launched the rapid analytics platform or RAP. We signed twice as many clients to RAP in the third quarter than we have since launching the product last year, which speaks to the value our clients see in the solution to help them make informed business decisions and develop effective and informed strategies. In addition to being a powerful platform, RAP tries more bundle data sales and is a differentiator when it comes to customer renewals. At the onset of the pandemic, we launched the McDash Flash dataset to give clients deeper daily insights into the impacts of the coronavirus on servicing performance. In the third quarter alone, we executed eight deals that included both McDash Flash, data, and RAP. The companies that will be leveraging these unique solutions include four of the top investment banks and the Federal Reserve Bank. I frequently share with our clients, our colleagues, and with you our intense focus on innovation, integration, and urgency. It is this commitment that has enabled us to launch our next generation customer service solution, which helps MSP clients better support their customers by displaying all the information they need to respond to our caller’s questions in a single location, so they can respond quickly, efficiently, and accurately. We've signed four clients to this solution since launching it last month. We also continue to add capabilities to our digital origination suite. Our digital point of sale solution, which is now generally available simplifies the loan application process by leveraging AI throughout the process, and enables consumers to complete the loan application on their schedule from any device. Complementing this solution, we have also delivered a digital solution for loan officers, which gives them a single mobile responsive platform with all the tools they need to serve their customers, anytime, anywhere. Next, I'm going to talk about some enhancements we've made to our Expedite Close solution, which uses advanced intelligence to select the best, most permissible way to digitally close a loan for each jurisdiction. In the third quarter, we acquired DocVerify, and integrated this leading software into Expedite Close to support e-notarization and remote online notarization. Another innovation in the digital mortgage lifecycle journey is our new guided close solution that guides borrowers on a document-by-document basis through the closing package. Together, these solutions are transforming closing into a more efficient and contactless process. As the trend towards a fully digital mortgage process accelerates, particularly in the socially distance environment. These solutions further enhance our client’s ability to serve their customers where they are. All the solutions I just mentioned are integrated and further our digital footprint. We are the only provider in the industry that offers comprehensive platforms across the long-life cycle, as well as digital solutions that can be leveraged at any point in the process to help our clients be more efficient and better serve their customers, which leads to increased customer satisfaction and retention. Finally, we continue gaining traction with our innovative servicing digital and loss mitigation solutions. In fact, we now have 43% of the loans on MSP signed for servicing digital, and 34% for loss mitigation. Next, I'd like to give an update on our acquisition of Optimal Blue, which closed in September. By combining the Optimal Blue and Compass Analytics teams and offerings, we now have the leading product pricing and eligibility engine, as well as the premier hedging capability in the industry. The combined team has a great deal of experience in both mortgage and technology that will help drive continued innovations for our company. We've already started to identify ways we can aggregate our strong data assets to deliver even more valuable analytics and insights to our clients. The power of this combined set of solution is resonating with clients of both companies. I look forward to providing you with additional updates on this acquisition on future calls. In closing, it's clear that the core fundamentals of our business remain strong, and we continue to execute on our strategy to drive revenue growth by adding new clients, expanding relationships with existing clients, delivering innovative solutions and pursuing strategic acquisitions. I'm excited about the momentum we have built and how we’ll continue to transform the industry. Thank you for your time today. Now, I'd like to turn the call over to Kirk for a financial update.
Kirk Larsen: Thank you, Anthony and good morning everyone. Today I'm going to discuss our third quarter results and our updated outlook for the year. To summarize, the underlying performance in the third quarter was very strong. The results came in as we expected with the exception of origination volumes that came in higher. It was another quarter that demonstrated the resilience, visibility, and predictability of our business. With that said, I'll take you through the details and our outlook. Turning to Slide 3, which shows our GAAP results. On a GAAP basis, third quarter revenues were $313 million, an increase of 4.5% compared to the prior year quarter. Net earnings attributable to Black Knight were $128 million, an increase of 243%. Diluted earnings per share was $0.82, an increase of 228%. The effect of our investment in Dun & Bradstreet was an increase in net earnings attributable to Black Knight of $87 million, or $0.55 per diluted share, primarily related to an $88 million non-cash gain as a result of their initial public offering and concurrent private placement. Net earnings margin was 36.7%, compared to 12.5%. Turning to Slide 4, I’ll now discuss our adjusted results for the third quarter. Third quarter adjusted revenues were $313 million, an increase of 4.5% compared to the prior year quarter. Adjusted EBITDA was $155 million, an increase of 3%. Adjusted EBITDA margin was 49.5%, compared to 50.1%. Adjusted net earnings were $81 million, an increase of 7% and adjusted earnings per share was $0.52, an increase of 2%. Turning now to Slide 5, I’ll discuss our Software Solutions segment results. Third quarter revenues for the Software Solutions segment increased 1% to $260 million. Our servicing software solutions revenue declined 4% as a result of the previously discussed headwinds, including the effects of the foreclosure moratorium. The year-over-year performance improved from the second quarter as a result of the Bank of America conversion and the anniversary of certain of the previously discussed anomalous headwinds from 2019. We continue to be pleased with the underlying performance in our servicing software business and the outlook for growth as we look forward.  In origination software solutions, revenues increased 20% driven by new clients, high origination volumes and revenue from acquisitions. Optimal Blue contributed $5.5 million of revenue in the third quarter. Third quarter EBITDA decreased 1% to $152 million and EBIDTA margin was 58.4%, compared to 59.5% due to unfavorable revenue mix. Turning to Slide 6, third quarter revenues for the Data and Analytics segment increased 27% to $53 million, primarily driven by strong sales execution, high origination volumes, and revenue from an acquired business. EBITDA increased 74% to $18 million. EBITDA margin was 34.5%, an increase of 940 basis points from the prior year quarter. Adjusted EBITDA for the Corporate segment was $1 million unfavorable compared to the prior year quarter driven by higher incentive-based compensation. Turning now to Slide 7, I'll walk through our debt structure. At the end of September, we had cash and cash equivalents of $31 million. Total debt principal was $2.323 billion. We had revolver capacity available of $612 million, and our leverage ratio was 3.6 times. Before I walk through our updated outlook for 2020, I’ll go through the details of our investment in Dun & Bradstreet shares. Turning now to Slide 8, we own 54.8 million shares. The market value of this investment was $1.407 billion based on the $25.66 closing price of DNB on September 30. Our invested capital was $493 million. That puts our unrealized pre-tax gain at $915 million; our unrealized after-tax gain at $683 million, and the after-tax value of our DNB investment at $1.176 billion. It goes without saying that we have been very pleased with performance of the DNB team and our investment. Turning to Slide 9, I'll discuss our updated outlook for 2020 which we are raising to reflect the Optimal Blue acquisition, the outperformance in the third quarter and expectations for the fourth quarter. Revenues and adjusted revenues for the full-year are expected to be in the range of $1.229 billion to $1.235 billion. Adjusted EBITDA is expected to be in the range of $603 million to $608 million and adjusted earnings per share is expected to be in the range of $2.03 to $2.07. Additional modeling details underlying our outlook are as follows. We expect full-year interest expense of approximately $64 million; full-year depreciation and amortization expense of $136 million, excluding the net incremental depreciation and amortization resulting from purchase accounting; and adjusted effective tax rate of approximately 19% in the fourth quarter, and 22% for the full-year, including certain discrete tax benefits; and fourth quarter weighted average shares outstanding of 156.5 million and full-year weighted average shares outstanding of approximately 153 million. Thanks again for your time this morning. I'll now turn it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question is from John Campbell with Stephens Incorporated. Please proceed with your question.
John Campbell: Hey guys, congrats on the quarter. Really good success with innovation efforts and then closing on Optimal Blue, that’s great work. Congrats.
Anthony Jabbour: Thank you, John.
Kirk Larsen: Thank you, John.
Anthony Jabbour: Thanks so much.
John Campbell: First question, how many loans – if you can just update us, how many loans are on MSP now? And then, what's the expected kind of loan count once you get through the implementations?
Anthony Jabbour: Our loans today are 32.7 million, our first 3.4 on seconds, which is [36 million], total. So market share is 61% on first, 26% on second, and then, pro forma to be a little over 62% on first and about 29% on second. 
John Campbell: Okay, that's helpful. And then, on Optimal Blue, I think you guys originally kind of framed that up as I think 120 million, growing 30-ish, 35%, something like that. It looks like you guys might be a little ahead of schedule now, so if you could just maybe provide us an update on kind of Optimal Blue outlook and if you can maybe give us a little bit more color on the contractual versus transactional mix at this point?
Kirk Larsen: Yes, it’s still in that area, John. It came in, frankly, as we expected for the [two-weeks] we had in the third quarter and the forecast for the fourth quarter was in line with that expectations are right in that 120 million area. From a transactional versus subscription, it's about 80% subscription, a little bit less. But it's a business that is very similar to most of the Black Knight is with that very high subscription content, a little bit of benefit from volumes, but not nearly as sensitive as some other origination software providers in the space. So, very high return, which as we talked about last quarter is, something that we really like about the business, is that predictability and consistency in the revenue base, and then, of course, the high incremental margins.
John Campbell: Okay. And then, on the modeling, you know, I know you have a little bit of Data and Analytics revenue, but is it safe to assume that the vast majority of that falls into origination for you guys? 
Kirk Larsen: It all does. So Optimal Blue fully reports into our origination software business. We actually, with a combination of Compass, created a secondary marketing technologies division. That's the combination of Compass and Optimal Blue.
John Campbell: Perfect. Thank you, guys.
Operator: Our next question is with Andrew Jeffrey with Truist Securities. Please proceed with your question.
Andrew Jeffrey: Hey, good morning. I appreciate you taking the call.
Anthony Jabbour: Good morning.
Andrew Jeffrey: You know, Optimal Blue seems to be, you know, a terrific fit, and obviously a very strong future growth driver. Anthony, can you talk a little bit about maybe a product roadmap? And exactly, you know how we might think about the integration of Optimal Blue solutions and perhaps new solutions that they grow out of the consolidated entity? Is that a 2021 event? What’s the kind of timeframe in the roadmap there?
Anthony Jabbour: Sure. Well, the first integration, Andrew, is integrating Empower with Optimal Blue and that's targeted for Q1. You know, often running in terms of, you know, the projects, the selling, sharing leads back and forth, et cetera, on a more broad basis, but on that integration, it's looking Q1. And in terms of really new possibilities coming from it, as Kirk said, we created a new division, our [secondary] marketing technology division, where we put our Compass Analytics business together with Optimal Blue, where – there's been a lot of great collaboration and specialization in that space. And we’ll – you know, we'll constantly find new ways to innovate and ideas to come up with. You know, the one that probably has the most steam right now that we're pursuing is a trading platform, looking at what Optimal Blue had, you know, previously, but adding season loans to it from MSP and the analytics and the data that we have on those loans, is probably the soonest one, and you know, I imagine we’ll launch at some point next year, and, you know, do what we always do, you know, work with our clients, beta test, learn, pivot, and then, come on a GA basis.
Andrew Jeffrey: Okay, it's helpful, thank you. And then, I just – I wonder if you could just comment on the macro-environment to the extent that rates stay low and the purchase market is robust. As we start to see perhaps some increased foreclosure activity, is this kind of the best of all possible worlds looking into next year for Black Knight?
Anthony Jabbour: Well, like I said, you know, the thing that we pride ourselves on is not being affected as much by, you know, other impacts in the environment. But certainly, as you've seen, natural things can occur such as the foreclosure moratorium, which did occur, and as we see things improving, saw the Pfizer announcement this morning, and hopefully and related to [indiscernible], it's good for all humanity in terms of we work our way out of this pandemic, but certainly rates are low. They're looking to stay low. I think, you know, President-elect has talked about, you know, tax credits to spur on more purchase for low income. So, we anticipate that continuing – we – you know, the foreclosure moratorium does next year, we'll see. I mean, but, we're certainly in a good spot. There's headwinds and tailwind, I think that we can go through across all these things, you know, that we're starting to think about them. You know, would there be an increase in regulations, for example, as a potential headwind to the industry. It’s something that's been classically a tailwind for companies such as ourselves, where, you know, strong industry leaders and clients turn to – you know, to stay within guidelines. So, we'll work through that, but, we certainly feel good about where we're positioned. We feel good about next year.
Andrew Jeffrey: Great. Thank you very much.
Anthony Jabbour: Thank you, Andrew.
Kirk Larsen: Thank you, Andrew.
Operator: Our next question is with Ashish Sabadra with Deutsche Bank. Please proceed with your question.
Ashish Sabadra: Thanks for taking my question. So first one on the origination suite, you've built out a great product there with combination of the digital suite plus the Optimal Blue. I know, it's still very early days, but I was just wondering how are your client conversations? How is the pipeline building up for the origination suite? Obviously, you've had a really great success over the last few quarters, but how do you think about the momentum going forward? Thanks.
Anthony Jabbour: Sure, Ashish. We feel great about the momentum going forward. I, you know, certainly feel that the – you know, we're leaders on the digital channels, and, you know, prior to the pandemic, and that's just exaggerated the trends and accelerated them. And so, the innovations that we're bringing to market really is resonating with our clients and we're seeing that in the conversations that we're having with them and our prospects. So short answer is we feel very good about how we’re positioned there.
Ashish Sabadra: That's great. And then, just quickly on Data and Analytics, Kirk, if you can give us what the organic growth there was, excluding mortgage and acquisition? And then, a follow-up there, obviously pretty strong momentum there as well, eight new deals. Can you just talk about how do you think about – are there any market share in that business? And what's driving that strong momentum? You called out the RAP platform, as well as McDash, but just wondering, are there other products, which are in the pipeline as well? Any color on those fronts? Thanks. 
Kirk Larsen: Sure. So, to answer the first question, quantitative aspect, if you back out collateral analytics and the effective volumes, it was about 6% growth. So, very consistent and we're actually – we're continuing to be very pleased with that performance, as well as the margin performance in our Data and Analysis business. So very consistent with the last several quarters, so very good performance there. From a what's driving it, it's actually pretty broad based. You know, we are continuing to focus on cross-selling to the existing client base and leveraging those relationships. We’re leveraging the sale and the receptivity of the rapid analytics platform, which not only is a way to – it's not only a platform sale, but it's a way to deliver more data. And so, it's actually a way to deepen those partnerships as well, but it's really across the board and it's been remarkably consistent over the last four or five quarters, what that performance has been and we think that that's a reasonable expectation as we go forward as well.
Ashish Sabadra: Thanks, and congrats on such a solid results. Thank you.
Anthony Jabbour: Thanks, Ashish.
Kirk Larsen: Thanks, Ashish.
Operator: Our next question is with Tien-Tsin Huang with JP Morgan. Please proceed with your question.
Tien-Tsin Huang: Hi, good morning. Really everything was very strong. Everything's ahead of our expectations. It looks like except for the servicing margins came in a little bit like you overcame it with revenues overall I know, but just trying to think about that line there, specifically, and the Bank of America [boarded] you've got, you know, mix, etcetera. Any one timers to call out there or considerations for that line [ahead]?
Anthony Jabbour: Tien-Tsin, you're saying software solutions margins?
Tien-Tsin Huang: Yes. 
Kirk Larsen: Yes. It's a good question. Really, it does – there's no one timers on from an expense perspective. In the third quarter, we didn't have a the benefit of lower medical costs like we had last quarter. That was something that happened that didn't recur. We got back to more of a normal level from a year-over-year basis. It comes down to revenue mix, really simply put, so some of those anomalous headwinds were transactional with a very little related variable costs. We had that termination fee and origination last year. Those come at 100% margin. And then, it's replaced with margins that require support even on a relatively limited basis with the new clients, and then, of course, some of those acquired businesses. So, it really is a revenue mix story more than anything. There's really nothing else to know. 
Tien-Tsin Huang : Got you. No, thanks for that. And then, just some on the change in the guidance here, is it predominantly Optimal Blue coming in with the acquisitions? Or is there some underlying performance benefit there? Is any way to maybe break that up for us [indiscernible]?
Kirk Larsen: Sure, sure. So we exceeded our own expectations in Q3 because of volumes. And so, if you take the Q3 be it excluding Optimal Blue, that becomes the first layer. The next layer, the Optimal Blue and it's – you know I think you can back into what those numbers are. And then, there's incremental amount above that, if you look at it, where the new guidance range is, and that's, frankly, in an environment like this. When we came into our – we gave our guidance for the second half of the year, we didn't think there was any reason to be anything other than potentially a bit conservative.  And so, with six months left in this environment, there's – even with as predictable as our business is, we felt the prudent to be a little conservative now. We have three months left, there's only – there's – you know, there's – it's half the time remaining. And so, you know, I think we tuned up the guidance, narrowed the range, raised that and now we get back to sort of thinking of things at the mid-point going forward. So – but it really is that. It was it was first volume, second Optimal Blue, and then third, it was just a bit of conservatism in the prior guidance.
Tien-Tsin Huang: Yes. Always happy to see the [raise]. Thank you, guys.
Anthony Jabbour : Thanks, Tien-Tsin.
Operator: Our next question is from Ryan Tomasello with KBW. Please proceed with your question.
Ryan Tomasello: Good morning, everyone. Thanks for taking the questions and [echo to] congrats on a strong quarter.
Anthony Jabbour: Thanks, Ryan.
Ryan Tomasello : Just following up on your comments to an earlier question, it seems like one of the lower hanging fruit opportunities at Optimal Blue is the cross-sell to the existing Empower clients once that integration is completed. So can you talk about what that sales cycle will look like? I know, Anthony, you mentioned its ongoing, you know, the level of adoption, you might expect there from Empower clients and what the opportunity could be in terms of revenues from those clients?
Anthony Jabbour: I’d say in terms of, you know, how I see the sales process, you know, progressing is, you know, we're in constant communication with our clients about all the innovations that we've got coming out. The majority of Empower clients had a basically a built-in PP engine inside Empower. And obviously, Optimal Blue is a lot more powerful. So, we're excited to bring that new capability, you know, to those clients. And as we sell, you know, new Empower deals, we will sell them with Optimal Blue just bundled in, and automatic and already integrated.  So, what we want to do is we want to change just how we go to market in terms of selling a loan origination system. Of course, it has a PP engine integrated into it. It's not a separate decision. More and more capability that we're bringing to market, we want to bring it integrated into a sales cycle, and do more and more in a more integrated way, making it easier for our clients. So that's really what our focus is, from a revenue perspective.
Kirk Larsen: Yes. We usually don’t get into the pricing for particular deals, but it's – as Anthony said, we'll end up bundling it into each of the deals, and for existing deals, we'll add it on a per loan basis, and then, of course, get benefit of having [indiscernible] in the contracts as well. But it's – you know, I think – it's something that certainly will be a nice add to the revenue per loan that we'll get from our Empower clients. And certainly, it'll be something that will help contribute to that 20% growth that we've talked about over the next several years for Optimal Blue. 
Ryan Tomasello : Great. And then, you know, 2020 is clearly shaping up to be a very strong year in terms of new sales and implementations. So I guess, without explicitly asking for anything about 2021, could you maybe walk us through the moving pieces as we think about the organic growth power in the business next year that is already really in a bag per se from recent sales, layering in Optimal Blue being naturally accretive to growth, as well as some other factors like the ongoing impact of forbearance and foreclosure moratoriums into next year. And specifically for recent client wins and implementations across software and D&A, is it possible to quantify the cumulative impact of those from a run rate revenue perspective?
Kirk Larsen: Sure. I'll take that one, Ryan. It's a great question. Certainly it is that time of year where we're working on budgets and thinking about, in very detailed terms, all the things that you're asking about. It's a bit premature for us to go through those details, but what I will do is walk you through things in three buckets: the tailwinds that will drive the growth next year; the known headwinds as we sit here today; and then, some things that are kind of a coin flip, I'll say, we – meaning we don't exactly know which direction that's going to go next year at this point, because things can change. But it's – the single biggest driver of growth, as it always is, is going to be the revenue related new clients on our platform. So, MSP, Empower, foreclosure and bankruptcy, are the primary platforms.  And I would say we certainly have a nice backlog going into next year. I will characterize it where it is relative specifically to where we are this year, but we'll get – you know, we'll have a full year of Bank of America versus five months this year. And then, certainly have other clients that have gone live or are signed and will go live next year. So that'll be the primary driver of growth next year and we'll go through the details of what our expectations are for that when we give full guidance on our next call. The other thing benefiting next year is going to be a return to more typical attrition. So, we will have gotten it almost entirely through the anomalous headwinds we talked about from last year, as some of those have abated, another one will abate later this year, and then, just a little bit of carryover to next year. So, we'll get back into that, you know 2-ish percent kind of attrition level that we had experienced in the past. And then, as you said, the accretion from the Optimal Blue growing at the rate that its growing, so just not thinking of it just as we'll have a full-year of it, but it is accretive to our overall organic growth rate. From a headwind perspective, in origination volumes, there's a large refinance eligible population, but we and most others are calling for next year's refi to be lower than this year. Where that ultimately lands, we all will have to wait and see because it can be – it can move around a bit, but, you know, as you think about that number, as Anthony said before, we're just not that sensitive to origination volumes. So, this year with the significant pickup and record level of origination, it's a couple points of growth. And so, as you think to next year, if there is a headwind, it's, you know, one to two points, maybe somewhere. We'll go through those details and tell you our assumptions on the next call. But it's– in the grand scheme of things, it’s just not a big number. And then, you know, one kind of smaller detail, but I'll tell you this just because it's something we know, you know, as you know, when we implement our clients on our platforms, MSP or Empower, for example, many times, we get paid for the implementation and we recognize that over the life of the contract. We had a relatively large client that renewed and this year, got to the end of the first contract and renewed and extended, and so, that deferred revenue amortization has now been fully recognized. And so, that's probably a half point or so of headwind to next year. So, not the biggest number, but I’ll point it out because you asked. And then, the last thing, you know, as you think about -- the piece of the third bucket where I’d say it’s something that we don't know at this point, is the foreclosure volumes. You know, I would say, as we sit here today, we expect them to come back in the second half of next year. But the exact timing and quantum is something that we're going to have to monitor and it's another thing that I would expect that we would be very explicit with what our assumptions are when we give you guidance for next year. So, we can all measure against the same set of assumptions, so that's kind of the revenue side. One quick thing I'll mention on the expense side is, we, like everybody else this year, benefited a bit from on the expense side related to travel and entertainment and sales and marketing costs because we're all working from home, as well as we, and I know many others also experienced lower medical costs. And those are things that, as we look to next year, will return maybe not back to norm, because things won't fully be normal next year, but certainly, there will be some elements of those coming back. And we'll talk about that too, when we give guidance next year. But those are, you know, I think about those as the building blocks for next year. That's how we're thinking about it. And I think it'd be important next year giving some of the variables there that we go through those details with you, but that'll be something we'll go through on the next call.
Ryan Tomasello: Great. Thanks, guys. Thanks for taking the questions.
Anthony Jabbour: Thanks, Ryan.
Operator: [Operator Instructions] Our next question is with Jake Williams from Wells Fargo. Please proceed with your question.
Jake Williams: Good morning, everyone. 
Anthony Jabbour: Good morning, Jake.
Kirk Larsen: Good morning, Jake.
Jake Williams : I wanted to touch on your strong margin expansion in D&A, how much of that was driven by favorable operating leverage with the origination of tailwind versus any structural cost reductions or anything more ongoing?
Kirk Larsen: That was more about volumes. That was more about – and I wouldn't say just origination volumes, though, because it was growing 6% on a natural basis, and so, it really is the operating leverage in the business. There were no reported cost actions there that really benefited. But it really is a business that we've been very focused on positioning it for efficiency. And so, in most cases, we've made the investment once and we can deliver it many times, which is the way we like our business to run. There are certain aspects within volumes that do bring with them, some cost to goods sold. But in other cases, it's a matter of selling it and there isn’t a whole lot of variable costs. So, we're, as I said before, very pleased with the performance in that business and maintaining for now with the third quarter in a row of margins over 30% and that's going to be our focus to continue going forward. 
Jake Williams: Thank you very much.
Operator: Our next question is with Stephen Sheldon with William Blair. Please proceed with your question.
Stephen Sheldon: Good morning. Thanks for taking my question. Just one quick one here, I just want to ask on the servicing side -- and thanks for [indiscernible] update. I think you said 29% on the second lien, and I know you added KeyBanc recently. Just wanted to ask how conversations on the second lien side in particular are going and the potential for market share to continue moving higher as we look out over the next few years?
Anthony Jabbour: Well, you know, we continue to have, you know, lots of great conversations around the value proposition that we came out where it continues to resonate – actually continues to resonate more because – and as come up with servicing digital that also works with the second lien solutions as well, so it's a more holistic solution even then, you know, we previously launched that. So, we feel, you know, very good about our continued, you know, momentum that we're having in the space and look forward to [indiscernible] updates on, you know, new wins as they come.
Stephen Sheldon: Thanks.
Operator: Our next question is from Mihir Bhatia with Bank of America. Please proceed with your questions.
Mihir Bhatia: Good morning and thank you for taking my questions. Wanted to ask about the Data and Analytics business, you saw some nice growth there this quarter. But, you know, it has a lot of pieces in it. So one question I did have was, are there – can you provide me a little bit more color on certain things that might be resonating a lot currently? And is there anything in there like, is there any risk that you know, this is resonate – like those pieces are resonating because of elevated forbearance and people maybe need a little bit more data and analytics and some of that could start dropping off next year or the year after that? Or is it more the case of generally once you get in there and you start providing some of these, they tend to be pretty sticky and customers don't give up that data that easily? 
Anthony Jabbour: Sure. There's probably a few things I'd attribute the success we're having in D&A growth, you know, obviously, in addition to, you know, great leadership and doing all the right things. The first is RAP and the introduction of our RAP platform. It really gives an opportunity for our clients to view their data with our data to – in a [sandbox], so to speak, and really look for new insights from it. And so, it's powerful in that way and has led to a lot of data sales for us. So that would be one.  The second would be our McDash flash. So early on, when the pandemic broke out, we were very quickly working with all sorts of agencies and organizations in sharing our data as to what we're seeing, you know, really on the front lines, and you know, that's contributed to interest and I'd say relationships that have been, you know, grown beyond the initial, you know, forbearance relationship into other types of data and analytics we can provide to these organizations.  And the third, I'd say is really just our integration to our core platforms. So again, we really – you know, we talked about servicing and originations and data and analytics, but from a client perspective, we just want them to see one integrated Black Knight. And so, as we integrate our offerings more and more into these core platforms and we sell them and include them in the packaging, that's really continuing to help us grow that business as well. So, those are the three areas that probably call out.
Mihir Bhatia: Got it. And then, just last question for me, now that, you know, Optimal Blue is kind of acquired, I guess that has close. Can you just talk about what your capital allocation strategy looks like, from here, in terms of your appetite for M&A? Is it more likely near term to be seen as smaller tuck-in type acquisition? Or are you still open to wider and just generally on your capital allocation? Thank you. That'll be all.
Anthony Jabbour: Sure. Yes, at the macro level, our priorities have remained unchanged from cash allocation perspective. You know, first, we're going to continue to invest, you know, in internal investment and innovation. We're very pleased, you know, with what we're seeing there, and obviously, going to stay the course. But, you know, as I said, [with the acquisition of] Optimal Blue. We've increased our consolidated leverage to the mid-3s. And so, as a near term, we have a focus on delevering, which will happen quickly based on the growth and EBITDA, as well as our significant cash generation. But that delevering won't reduce our abilities to have potential tuck-in acquisitions, or obviously, our continued focus on internal investments.
Mihir Bhatia: Got it. Thank you.
Anthony Jabbour: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back over to Anthony Jabbour, CEO, for closing remarks.
Anthony Jabbour: Thank you. In closing, I'm confident in our ability to grow market share and continue delivering significant value to our clients through a powerful and integrated solutions and by acting with urgency to support their success. These efforts will continue to drive long-term growth and create value for our shareholders. Finally, I'd like to thank my colleagues for their extraordinary work and commitment to our clients and to our clients for their trust and partnership. Last, I like to thank our shareholders for their ongoing support. Please stay safe and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.